Operator: Good afternoon, and welcome to YRC Worldwide's Second Quarter 2017 Earnings Call. All participants will be in listen-only mode. After today's presentation, there will be a question-and-answer session. Please note this event is being recorded. I would now like to turn the conference over to Tony Carreno, Vice President, Investor Relations. Please go ahead, sir.
Tony Carreno: Thanks, operator, and good afternoon, everyone. Welcome to YRC Worldwide's second quarter 2017 earnings conference call. Joining us on the call today are James Welch, Chief Executive Officer of YRC Worldwide; Stephanie Fisher, CFO of YRC Worldwide; and Darren Hawkins, President of YRC Freight. Before we begin, I must remind you of the inherent uncertainties in any forward-looking statements in our discussion this afternoon. During this call, we may make some forward-looking statements within the meaning of Federal Securities laws. These forward-looking statements and all other statements that might be made on this call, which are not historical facts, are subject to uncertainty and a number of risks and thus actual results may differ materially. This includes statements regarding the company's expectations, assumptions of future events and intentions on strategies regarding the future. The format of this call does not allow us to fully discuss all these risk factors. For a full discussion of the risk factors that could cause the results to differ, please refer to this afternoon's earnings release and our most recent SEC filings, including our Forms 10-K and 10-Q. These items are available on our website at yrcw.com. Additionally, please see today's release for a reconciliation of net income or loss to adjusted EBITDA on a consolidated basis and operating income to adjusted EBITDA on a segment basis. During this call, we may refer to our non-GAAP measure of adjusted EBITDA simply as EBITDA. In conjunction with today's earnings release, we have issued a presentation which will be referenced during the call. The presentation was filed in an 8-K, along with the earnings release and is available on our website. The format this afternoon's call will include an overview of the second quarter and an update on recent events from James, followed by Stephanie, who will discuss our financial results. And Darren will conclude the prepared comments with an update on YRC Freight followed by a question-and-answer session. I’ll now turn the call over to James.
James Welch: Thanks, Tony, and good afternoon, everyone. For the second quarter 2017, our consolidated adjusted EBITDA was consistent with a year ago and in line with our internal plan. However, we had to manage through added consistent and 2016 and a sluggish start in 2017 to achieve these results. To that point, while YRCW consolidated award and improved 430 basis points from the first quarter to the second quarter 2017. The consolidated results on the second quarter of a favourably impacted by the executing our strategy to improve yield at YRC Freight and reducing overhead cost aided by an improving industrial economy. We anticipate the momentum from our actions to continue, as we move through the rest of the year and contribute to better year-over-year financial results. In particular, YRC Freight made significant progress during the quarter in its efforts to returning positive year-over-year revenue per hundredweight excluding fuel surcharge and improved adjusted EBITDA by approximately $4 million compared to last year. Our Regional carriers, Holland, Reddaway and New Penn are comping to a solid quarter a year ago, when they reported an OR of 93.2 versus 94.6 this year. Year-over-year tonnage per day was up and year-over-year revenue per hundredweight, excluding fuel surcharge was slightly positive. These favourable items were not enough to completely offset increases in contractual wage and benefits, revenue equipment leasing expense and liability claims, contributing to a decrease in adjusted EBITDA of approximately $5 million compared to last year. We do have anticipated increases in volume and yield to help deliver better year-over-year adjusted EBITDA results in the second half of 2017 at the Regional segment. Our efforts to eliminate approximately $25 million of costs over the course of the year by streamlining overhead expenditures and augmenting operational efficiency remained on track during the second quarter. And just a week ago, we completed an amendment to extend the term loan by more than 3 years from February of 2019 to July of 2022. YRCW has made significant progress since the current term loan was put in place and that was imported to proactively seek an extension and position the company for continued long-term success. In conjunction with the refinancing amendment, we paid down another $35 million of the term loan, lowering the outstanding balance to $600 million. Since the end of 2013, we have improved our capital structure by reducing long-term debt by almost $400 million while reinvesting in the company. In summary, we took actions in the first half of 2017 that we expect to benefit the company for the rest of the year and in July, we worked with our lenders to strengthen the company's capital structure. We plan to continue in evaluating additional opportunities to strengthen the company for our customers, employees and investors. Pricing in the auto industry remains rationale as has been for a while. Our nearly 32,000 talented freight employees are dedicated to be the best-in-class in safety and helping our customers meet their needs. With these comments, I will now turn the call over to Stephanie Fisher a review of our financial results.
Stephanie Fisher: Thanks, James, and good afternoon, everyone. For the second quarter 2017, the company reported consolidated operating income of $50 million compared to $57.2 million in the second quarter 2016. The year-over-year results were favourably impacted by a 4.4% decrease in revenue, primarily attributable to increased volumes and higher fuel surcharge revenue, combined with savings from streamlining our back office support structure and a decrease in liability claims expense. These items are partially offset by contractual wage and benefit increases. Second quarter 2017 adjusted EBITDA was $91.1 million and in line with the $91.4 million reported in the same pretty last year. Turning to the financial results by segment. In the second quarter 2017, YRC Freight reported operating income of $28 million, which is in line with the $28.4 million reported in 2016. It's important to note that last year's second quarter operating income results included again of property disposals of $11.2 million at YRC Freight compared to $1.4 million this year. Second quarter 2017 adjusted EBITDA, which excludes gains and losses from property disposals was $48.3 million compared to $43.9 million in the same period last year. Moving to the Regional carriers. They reported operating income of $25.3 million for the second quarter 2017 compared to $30.6 million in the second quarter 2016. Second quarter 2017 adjusted EBITDA was $42.2 million compared to $47.7 million a year ago. Our quarterly stats are included in the earnings release and the presentation filed earlier today. So I'll focus my comments on few key 3 results. At YRC Freight, the second quarter 2017 year-over-year tonnage per day was up 2.7%. This was comprised of year-over-year increases of 6.2% in April and 3.3% in May and a decrease of 1% in June. In July, YRC Freight year-over-year tonnage per day was essentially flat. For the second quarter 2017, year-over-year revenue per hundredweight, excluding fuel surcharge, was up 1.1% and revenue per hundredweight including fuel surcharge was up 2.2%. For the second quarter 2017, year-over-year revenue per shipment, excluding fuel surcharge, was down 0.1% and up 1% when including fuel surcharge. Turning to the stats for the regional segment. The second quarter 2017 year-over-year tonnage per day was up 3.6%%. This was comprised of year-over-year increases of 1.4% in April, 3.9% in May and 5.1% in June. In July, the regional segments year-over-year tonnage per day was up approximately 4%. For the second quarter 2017, year-over-year revenue per hundredweight, excluding fuel surcharge, was up 0.2% and revenue per hundredweight, including fuel surcharge, was up 1.2%. For the second quarter 2017, year-over-year revenue per shipment, excluding fuel surcharge was up 1.9% and up 3% when including fuel surcharge. In terms of liquidity, our cash and cash equivalents and managed accessibility under the ABL facility at June 30, 2017 was $253.4 billion, reflecting an increase of more than $50 million compared to the end of the first quarter 2017. Regarding of our credit covenant. Through June 2017, our last 12-month adjusted EBITDA was $277.5 million and the funded debt-to-adjusted-EBITDA ratio was 3.61x as of the end of the second quarter 2017 compared to a maximum credit facility covenant of 3.85x. Finally, it was a significant step for the company to extend the maturity of the term loan through the middle of 2022. And I greatly appreciate the support of our lenders. By completing the refinancing amendment, we are able to maintain our focus on operational execution and separate the term loan maturity date from the expiration of our current labor agreement in March of 2019. In addition, Moody's recently since the company's outlook from stable to positive and the progress that we are making. At this time, I'll turn the call over to Darren to discuss YRC Freight results.
Darren Hawkins: Thanks, Stephanie, and good afternoon, everyone. On our Q1 2017 earnings call, I outlined some of the actions that we were taking to improve yield at YRC Freight. At that time, I also stated that we expected our efforts to drive positive yield by Q3 2017. I'm glad to report today that the actions we discussed led to positive results earlier than previously stated. Q2 2017 year-over-year revenue per hundredweight, excluding fuel surcharge, improved to a positive 1.1%, which sequentially is a 280 basis point improvement compared to the same metric in Q1 2017. With the year-over-year tonnage per day strong. As the second quarter progressed, we strategically reduced our exposure to 3PL resellers and truckload tonnage. Although YRC Freight has a limited number of truckload shipments that are used to supplement the land whole network, the typical weight per truckload of over 14,000 pounds has a meaningful impact on our reported tonnage results. We made these changes to not only improve profits, but also to ensure the quality of service that are core LTL customers expect. Another progress at YRC Freight is the second quarter operating ratio of 96.5, which is the second best quarterly operating ratio we have reported since Q3 of 2007, a span of nearly 10 years. The only quarter with a better operating ratio over this time period that just happens to be the 96.2 reported in Q2 of last year, which was aided by the unusually large gain on property disposals of $11.2 million as mentioned by Stephanie. The gain had a favourable impact on last year's OR of 150 basis points. This compares to property gains in Q2 2017 of $1.4 million, which had a favourable impact of 10 basis points. From a peer price increase standpoint, Q2 pricing renewables averaged 4% to.5% and the new business pipeline is holding steady. I would also like to provide an update on 2 of our strategic initiatives. First, during Q2 2017, YRC Freight achieved the year-over-year productivity improvement in our second largest bucket, which is pickup and delivery operations. It's the sixth consecutive quarter of year-over-year improvement, and we expect to gain additional traction with the full implementation of our optimization solution, Quintiq, that is currently running approximately 50 of our 260 terminals. The system provides greater visibility to driver routes, driver our position, trailer capacity and driver communication, which leads to a more efficient delivery and pickup service to our customers. Additional terminals will continue to be upgraded with full implementation expected in 2018. Second, as the supply chain changes at a rapid pace, shippers expect faster transit times with steady and reliable service. To evolve with our customers, we are working through a large and impactful change of operations to transition 8 YRC Freight terminals into regional distribution centers that will serve as quick sort operations within our network. Specifically, we will begin utilizing more than 800 existing terminal as distribution center where we can transfer freight and add capacity at key points within our network. We are also planning to implement the use of utility employees that will be able to perform multiple job functions. This is a very significant structural upgrade to our network and we expect these changes to enhance productivity and add to our ongoing line haul strategy of creating density and reducing miles through shipment 5 optimization. The anticipated implementation date of these changes is early October and once completed the number of distribution centers in our network will increase from 23 to 31. In closing, the yield momentum we are seeing, along with continuous improvements in our line haul and pickup and delivery projects continues to give me confidence that YRC Freight should deliver improved adjusted EBITDA results for the full year 2017 compared to 2016. I appreciate the safety and service contributions of the hard-working employees of YRC Freight that delivered the improved Q2 results. Thanks for your time this afternoon. We would now be happy to answer any questions that you may have.
Operator: [Operator Instructions] And the first question comes from Brad Delco of Stephens.
Brad Delco : Good afternoon, James.
James Welch: Hey, Brad. How are you doing?
Brad Delco : Good. James, could you talk about - I don't want to ask this question appropriately, but it seems like a little bit of lack [ph] where first quarter looked like we had some pricing issues in freight that was addressed. We saw good results. But it looks like pricing deteriorated a little bit in regional and the regional results weren't bad, but obviously not as impressive as freight. So can you just talk about what sort of differences we're seeing in yields between the regional and freight?
James Welch: Sure. Number one, I think YRC Freight has done a very nice job of recovering from a couple of issues that we're creating problems during the fourth quarter of 2016 and the first quarter of 2017. That being said, things ebb and flow from quarter-to-quarter on freight mix. And as we work through those issues, at times it's favourable and other times it's a little bit challenging. That being said, I'm little disappointed with the regionals yield results and I can tell you better track than they were in the second quarter. So I agree with those, at times it appears like its but our philosophy has not changed with any other companies. We're still trying to get the right freight at the right price headed in the direction, and so, some of it -- some freight mix that we've seen especially at one of the regional companies, but we're working through that and feel comfortable about the track that we're on.
Brad Delco : Okay, great. And then maybe a follow-up. Darren, you talked about the rollout of the Quintiq system for P&D productivity. Could you give us an update on what you're seeing from the line haul optimization software and kind of where we are, I guess, by buying back, you said you rolled out Quintiq and 50 of the [260 terminals] so that ruled out 20%. Can you provide a similar update for us on the line haul?
Darren Hawkins: Certainly, Brad. Good afternoon, this is Darren. On the network excellence, line haul optimization piece, I think the easiest way to give you a time line is to say we're probably in the fourth inning of a 9-inning ballgame there. It's certainly a process that's never complete. This continuous improvement as the optimization occurs, but we are seeing the benefits of that and the process is on track. And then certainly, it lines up well for the change of operations that I talked out as well.
Brad Delco : Okay. Great. I’ll back in queue. Thanks for you time guys.
Darren Hawkins: Thanks, Brad.
James Welch\: Thanks, Brad.
Operator: The next question comes from David Ross of Stifel.
David Ross: Good afternoon, everyone.
James Welch\: Hi, Dave.
David Ross: I guess, first, you talk about that the increase in PT, you up 17% year-over-year. Is that mainly due to the growth in leases? Or is there something else there. I know there is some PT issues last year in the regional group?
James Welch: You're exactly right. It's a combination of several things. PT is up certainly on the side at all 3 companies actually. And the equipment leasing is taking a bigger pie out of EBITDA as we go along here. Of course, obviously, we would like to get to a point where we're purchasing more than releasing, but those 2 things are really having but certainly we're trying to combat that. We don't like the amount of that we're using and we got and are making some progress, but it has been a little bit of a headwind for the regional especially.
Stephanie Fisher: David, the other piece of that about an $8 million increase in rail mile and rail freight, that YRC Freight that offset the stellar wages and benefits for use of our drivers. And so we typically use that a little bit more in the second quarter due to the summer vacation season.
David Ross: Okay. And then Stephanie, with the new debt agreement, how should we think about interest expense going forward? It's been steady $25 million, $26 million run rate. Should that step up meaningfully? And then what can you tell us there?
Stephanie Fisher: Yes, it's certainly about a 1% increase on a go-forward basis. But on a lower balance, because we paid $35 million at closing. We're looking at about a 9.5% to 10% rate depending on LIBOR on the $600 million.
David Ross: Okay. I guess that would -- I guess, the $26 million would be a better number?
Stephanie Fisher: Probably.
David Ross: Okay, it's good. Right now, you are tracking around $100 million, 10% on $600 million is only 60. And I guess, you got the other piece besides the term loan.
Stephanie Fisher: Yes, we still got the sale leasebacks and the CDA notes.
David Ross: Okay. And then maybe just talk a little bit more about the Regionals. Is there a STARC difference among the west, the central and east.? Is there any issues with customers, networks, labor that you think is going to either stick around for a little while? Or you may resolve in the near term?
James Welch: Sure. Again, if you go back to look at performance, there are really 4 factors that drove that purchase transportation, the equipment leasing expense, they have some significant liability claims expense and then their wage and benefit increases. If you really cut of 3 of the companies, they all have some driver shortage challenges. It's a bit more pronounced out West and then the Northeast. Operationally, they've been running fairly at capacity. So I don't see any fundamental problems, Dave, let's say that their networks are broken or in trouble. They have some new business in one of the companies out west, that's having pretty large impact on some start-up cost and getting thing started, but we think its well worth adventure that we're in. But I was happy with the bounce back in July, and so far in August, like what they're doing. So just it's kind of back to what Brad was saying because 1 quarter, the Regionals will be growing and another quarter, the Regionals might not growing and freight and Regionals where we get all 4 rolling at the same time will be dangerous. But again, I'm not overly stressed or feel like easing those companies or broken. We're just working through some mix issues and
David Ross: In general, you say the capacity is -- networks are running roughly at capacity. So is the yield should continue to go up. That should allow you to put some business that doesn't fit the network, better mean balance, upper higher rate?
James Welch: Yes, totally, right. And currently, we're seeing 4%, 4.5% increases at YRC Freight, 3.5% or so at the Regional. So they sort ways to go. In fact, they rendered this week and after the board meeting Presidents meeting that certainly we need to do better on the yield type. So the message is out there, and I think they will move forward.
David Ross: Yes, especially [indiscernible] Thank you very much for the time.
James Welch: Yes, good to talk to you.
Operator: And next we have a question from Amit Mehrotra of Deutsche Bank.
Amit Mehrotra: Hey, thanks guys. Good afternoon. First question is just puts and takes as you guys walk from recently good second quarter into the back half. If you can just update us on maybe some of the real time trends on tonnage and -- or anything else so far in the third quarter? How much of the incremental cost savings there to be realized in the third quarter relative -- or in the back half or yet to be realized maybe I should say? And then maybe some pricing initiatives if you have any scope to be get even more aggressive on pricing based on what some of the competitors are doing? Any color on all those items will be appreciated.
Stephanie Fisher: Hi, Amit, I'm Stephanie. And I'll start and do maybe the first couple of pieces of that question and then I'll let Dan and James jump in on couple of other things. But from an tonnage perspective, in July, tonnage at YRC Freight was flat. For the Regionals, it was up 4%. So tonnage was strong at the Regional. Coming back to YRC Freight, as we think about the cost-savings initiatives that we started in the first half of the year, most of those went into full run rate by March or April. So we should see a fall second half cost savings of that $25 million come into play as we go into the second half of the year. Now I'll let James and talk about pricing?
James Welch: This is James. Couple of things before I comment on pricing. There's 6 things that I'm really looking at that should to have a stronger second half of the year moving forward. Volume is certainly there, as we were talking with the David a second ago. We think the economy looks good over the foreseeable future. Certainly, yields are improving and we have a that we can push harder there, number two. Number three, capacity is reasonably tight within the industry. Four, the technology investments that we're making will come into play more as the year goes along. Five, the competition appears to be rationale with pricing. And six, at this point, those cost adjustments that we put in play will continue to play out over the next second half of the year and into '18. So I guess from a pricing perspective, we think those continued opportunity and Darren has said on the first quarter call that he hoped to be positive on revenue per 100 weight by the third quarter He was able to push that button even harder and make it positive in the second quarter. So that does tell you that the opportunities are out there. And again, when you are working with the cap mix and appreciating the right business and bringing on the right kind of business, then it's a win-win combination. So that will continue to be work focus good position and we lined up in a good position to take advantage of regionally good market.
Amit Mehrotra: Okay. Sorry go ahead.
Darren Hawkins: Sorry, Amit. This is Darren. I was just going to mention from YRC Freight perspective, certainly on the second half of the year, there's 2 or 3 leading indicators that I like from a pricing standpoint. The first is our GR ad that we took earlier this year. Its holding firm. That's always a good sign and sets the pace for negotiations as we go throughout the year. Our truckload is getting firm. And truckloads being firm was always good for LTL. And our contract rate increase number that we talked about to 4% to 4.5%. That's a good leading indicator of the benefits we'll see in Q3 from the price negotiations that we completed in Q2.
Amit Mehrotra: Okay. That's really helpful. And just a follow-up if I could on for shipment and freight. It was down a little bit, but just if I look at it on an absolute level, it looks like it was -- I could be wrong, but it looks like it was below average weight per shipment in absolute terms. And since kind of like the first half of 2014 and we're seeing this kind of trend in other companies as well as may be e-commerce accelerate to get some mix towards later shipments. And so if you could just talk about what maybe is driving that? And what your expectations are for the back half of the year? And then more critically, given that you guys are obviously paid as well on a weight basis, how do you think about the absorption or the fixed cost as may be there is some secular headwinds associated with the way per shipment or maybe it's -- anyway, how you think about that shifts going on in the business?
Darren Hawkins: Yes, that's an excellent call out. In the last 2 calls, I actually talked about wafer shipment quite a bit because the impact it was having on my revenue per hundredweight, excluding fuel surcharge number and we talked about the balances and the yield was made up of a lot more factors than revenue per hundredweight. I'm glad you went back to '14 and saw where that trend started. We did a lot of work in '14 in removing absolute minimum charge shipments from our network. We were aggressive on that from a pricing standpoint and that trend continued for many quarters, driving that way for shipment up. We did have something that I mentioned in my script today that also had a slight impact on total weight per shipment, as we include truckload and LTL in our tonnage numbers and that weight per shipment, when I mentioned those truckload shipments that we reduced our exposure to coming in at 14,000 pounds per truckload and those move on 1 shipment. So it can have a slight play there as well. So I am glad to see the yield progress even with that slight decline. And when I put all the metrics in there and look at link to haul and wait per shipment, the yield progress looks good even with a slight drag and those others.
James Welch: Amit, this is James. On top of that, that I would like to comment that was made on the OD call the other day. I totally agree with that in thinking about how companies are expanding their distribution centers to multiple locations across country to get closest or to get closer to their general population of customers. And that in turn I think they're seeing some smaller repetitive-type shipments that replenish in this distribution centers, that I think bode well for the entire LTL industry over time. And I think that is what you maybe seeing when you're talking about the fact that a lot of carriers are reporting a little bit production. I think that definitely place into the
Amit Mehrotra: Great. And just so housekeeping on just seaway on that is, when you guys are expanding the distribution centers, is there any onetime cost or investment that we just be thinking about in terms of our models to make sure that we're adjusting for that?
James Welch: Amit, there is nothing material on that front.
Operator: And next, we have a question from Scott Group of Wolfe Research.
Scott Group: So I wanted to ask about the guidance for full year EBITDA. So if I look second quarter adjusted EBITDA was basically flat, and I think the guidance like 35% or 40% EBITDA growth in the second half of the year. Can you help -- I understand you've talked kind of qualitatively about you think things are -- why things are getting better, but maybe just more specifically about some of the margin pieces or timing, how much that's third versus fourth. I'm struggling to get to that magnitude kind of EBITDA growth in the back half?
James Welch: Good question, and I totally understand that. If you think about sequentially, we think that the third quarter of 2017 we'll generally be in line with the second quarter played out and then that pickup we will see the fourth quarter compared to the third quarter is what's going to be different. Because if you recall last year, that's when we started having some yield issues with freight. We didn't have a real good fourth quarter last year. So we think that's probably where you're going to see the biggest differences in that fourth quarter.
Darren Hawkins: So Mike, some years, where EBITDA kind of drops off more sharply in the fourth quarter, you are saying that you think that this year, it will be less of a drop-off in 3Q to 4Q on a sequential basis? And that's often significantly better year-over-year?
James Welch: Yes, that's right. And we certainly don't think we have the yield issues in some of the problems we're incurring in the fourth quarter of last year, so.
Scott Group: Okay. That's a helpful.
James Welch: Does that make sense?
Scott Group: No, no, that's helpful. Clearly, some nice kind of improvement in the yields at freight. But just as that's happening, you start to see tonnage kind of down a little bit in June, flattish in July. Are you okay with tonnage being negative in the back half of the year? Or is that something you're not really willing to -- or want to happen?
James Welch: Scott, excellent question. We talked about this in 2015. And matter of fact, the yield position the company is in kind of feels like 2015, where that momentum is coming and is coming strong and at national company like YRC Freight when it get started, it creates a nice wave of improvement that typically last several quarters. On the question of whether we would be willing to accept negative tonnage, I will certainly put yield ahead of tonnage. But as I talked about on the last call, balancing the act is where I'd like to keep YRC Freight. I think in the economy that we're working in right now, outside some of the truckload adjustments that I talked about and the 3PL lease over work that we do, we have an excellent relationship with those 3PLs and we use that reseller blanket business to balance volume and the network. So I think I've got opportunity to keep that balance going. Sometimes you pulled back on the banks a little too tight and -- but overall, I think that balances fair, and we're going to work very hard to try and maintain positive volume and positive yield, but certainly, if you -- if I was forced to pick one, it would always be you.
Scott Group: Okay, good. And then just one last question. I'll ask about the impact of fuel in the second quarter. So this used to be the kind of environment where fuel is higher year-over-year, but kind of flat to down sequentially. This used to be the environment where LTL has been a lot of money in fuelled. I know you in the industry have changed the fuel surcharge structure. Was fuel a big positive this quarter? And then how are you thinking about the impact of fuel in the back half of the year?
Stephanie Fisher: Scott, it's Stephanie. Fuel for us in the second quarter was definite impact for us, but not as big as we've seen in past history. And we did see an increase in the fuel price of about I think $0.20 or $0.25 per gallon on a year-over-year basis. So we did get a bit of a pickup there, not a significant one. But as we think about what's happening to fuel prices right now, I think in the second half of the year we will see less of an impact just because fuel prices don't seems to be picking up as much as they anticipated earlier in the year.
Scott Group: And is there any way to kind of frame, is that half a point of OR, full point of all our benefit in the second quarter?
Stephanie Fisher: I'm not sure I have that right now.
Operator: And the next question will come from Jeff Kauffman of Aegis Capital.
Jeff Kauffman: You hit a little bit on the tonnage trends at the national business. So I guess, 3 short questions. I'll start with the national. Can you talk a little bit -- can you give us a little context on what's causing the tonnage to ease of? Is that more of a strategic decision on your part to pursue a certain type of business? I know April was an odd comparison, but -- or is it a particular industry? Or is it a particular region where you're seeing anything slowing down. I just want to get a little more context on why the tonnage is kind of drifting down below 0?
Darren Hawkins: Jeff, this is Dan. And based on the comments I've said in the script around that anticipating this question certainly. And yes, some strategic actions on our part around business that's easier for us to control. The contractual negotiations you can get locked in the business for long periods of time. And in the LTL sector, it's good to have some business that you can moderate or accelerate on shorter-term basis and that's where the truckload, spot market and 3PL reseller business comes into play and that was the strategic plan that we did to protect the service and quality that our customers expect.
Jeff Kauffman: All right. That's very helpful. Second question, regarding the change of operations that you filed with the union and you did allude to the growth of distribution centers, but could you help us understand kind of how this affects the business and the flow-through terminals? Are we going to see some odd effects in terms of rev per hundredweight or weight per shipment as a result of moving towards more of a fulfilment model?
Darren Hawkins: No, I don't think you'll see any major swings in those numbers or in length of haul. There shouldn't be a huge impacts to the overall metrics. What it does allow us to do is our accelerated service in which we launched in 2016, it's the marketplace has responded very favourably to that. It's our second largest service by volume. We to handle increased accelerated business over a period of time that change of operations like this would be necessary. It will actually -- from those utility employees, they will be providing some of the dark labor at the facilities that they're working at which improves the cycle time as fast as through these quick sort centers compared to our larger PC model. So I anticipate nice benefit for the customers. Good benefit and efficiency for YRC Freight. And then also, a nice benefit for our employees and having more drivers sleep in their bed each night versus in a hotel room.
Jeff Kauffman: All right. And then finally on the Regionals. I may apologize I think you already answered this once or twice. Clearly, cost issue driver, availability issue, you're working your way through that. Can you help us understand which of these cost utilization issues you probably be able to a tax sooner and help us understand the ones that will take a little bit longer?
Darren Hawkins: Well, certainly, anytime we can do the job that we need to with recruiting drivers in the areas that we're short, that's the best way to both improve our efficiencies and lower our cost. So the market continues to be active and competitive. We have been able to move to some market-based type of pay arrangements, whereas in the past with the everyone kind of gets -- not everyone, everyone gets pay the same. So we've been successful in depreciating some markets from pay perspective and that's the recently occurred, so we think that's going help us as we moving forward. But certainly, PT is an expense that we would like to find ways to lower. And to Stephanie's point thought, when you think about the freight time, certainly PT will be exposed from the per percentage and over the rail percentage, but it's something that certainly we're working on as we speak.
Jeff Kauffman: Okay. And then the PT cost that you're seeing, is this something that was a little bit of an odd duck in the quarter? Or is this little more systemic and it's going to be a process to get back down?
Stephanie Fisher: Jeff, it's Stephanie. From a PT perspective, part of it is just to the second quarter due to the summer vacation season, part of it is just some timing of some new business coming on board. So I think it will be easily -- not easily, but somewhat rectified in the third quarter.
Operator: Our next question is a follow-up from Brad Delco.
Brad Delco: Maybe for Darren or James, if you want to jump in on this one. So I know we talked about yields and we talked about tonnage and obviously logically is there an inverse correlation to lower the price, your tonnage tends to increase and higher the price, the tonnage decelerate a little bit. But it kind of boils down to service the value proposition. And I don't know that we've really updated or given any updates on kind of where service levels are versus where they've been. Darren or James, can you just talk about that? And maybe give us an update on where things stands there?
James Welch: Yes, I'll make some comments and Darren can jump in. With the summer vacation schedule services is always under pressure. But again, I think the networks are reasonably full and I don't think services are out of the ordinary for we typically produce on the summer. And so I feel good, especially with from what YRC Freight is doing from a change of operation standpoint to go to more meeting terms, less sleeper team, less laid runs, moving freight efficiently through more locations I think is going to YRC Freight. And the Regionals typically give market-leading service in their areas. And again, they've been under some pressure over the summer with vacation season, but nothing that won't bounce back and is not bouncing back at the summer winding down. I'm not overly concerned about that.
Darren Hawkins: Brad, this is Darren. Certainly, a trend we've seen over the last several years, a peak season for a lot of national carriers now and June. And past years, that was lighter in the year in the third quarter, but whether it's occurring June now, it does happen when it's also peak season for experienced employees to be on vacation now. That's something that happens every year. We certainly higher up to offset that at YRC Freight. During June, we had hired over 3,000 employees so far just in 2017. Certainly, with the training of those employees, the part-time workers that we use throughout the summer months. Our lower service levels are typically in Q2. June is typically the low point. And then you see the improvement after the remainder of the year. I don't think that's unusual in the industry as well that most carriers have that cycle.
Brad Delco: But in terms of making the comparison to last year and years past, where do you think YRC stands? Or maybe another way, where do you think you stand related to your competitors?
Darren Hawkins: I think it's a level playing field and the price sometimes makes that determination of whether business days on board. Certainly, through the complicated pricing models that we're using and the number of negotiations that we do. That your price exceeds your value at any carrier, and typically that's when changes are made and that's usually, because someone else
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to the company for closing remarks.
James Welch: Thanks, operator. So in closing, we believe YRCW is uniquely positioned in our industry with the portfolio of 4 distinct and we think private operating companies. We believe that our people network assets and technology have driven investments will set us apart from others in our industry and certainly provides platform for continuous improvement and long-term growth. So thanks, again, everyone for joining. If you got any follow-up information, please contact Tony. And operator, I'll turn the call to you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.